Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2012 Tutor Perini Corporation's Earnings Conference Call. My name is Sonia, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Mike Kershaw, Executive Vice President and Chief Financial Officer. 
Michael Kershaw: Okay. Thank you, Sonia. Good afternoon, everyone. Thanks for joining us on Tutor Perini's Second Quarter 2012 Conference Call. With us today are Ronald Tutor, our Chairman and CEO; and our President, Robert Band.
 Before we start, I'd like to remind our listeners that our comments today will contain certain forward-looking statements, including statements about future guidance. Management may also make additional forward-looking statements in response to your questions. These types of written and oral disclosures are made pursuant to the Safe Harbor provision contained in the Private Securities Litigation Reform Act of 1995.
 Investors are cautioned that such forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from anticipated results. The company cautions that any such forward-looking statements are based upon assumptions that the company believes are reasonable but that are subject to a wide range of risks, and actual results may differ materially.
 These risks and uncertainties are discussed in detail in our filings with the SEC, including Tutor Perini's annual report on form 10-K for the fiscal year ended December 31, 2011, our definitive proxy statement filed on April 19, 2012, as well as in today's news release.
 Our statements on this call are made as of today, August 6, 2012, and the company undertakes no obligation to update any of these forward-looking statements contained in the call, whether as a result of new information, future events, changes in expectations or otherwise.
 Having said that, it is my pleasure to turn the call over now to our Chairman and CEO, Ron Tutor. 
Ronald Tutor: Thanks, Mike. Good afternoon, everyone, and thank you for joining us on the call.
 As you saw on our earnings press release, we were required to take a noncash goodwill and intangible asset impairment charge in the second quarter, triggered by a sustained decrease in our stock price and impacted by the overall economic environment in which we operate, continuous negative outlook in equity markets in general and the timing of the award and start of new work.
 These accounting rules require that we consider each of these factors in determining the timing and magnitude of a potential impairment. These circumstances and the analysis are simply beyond our control. And while the impairment is significant in size and not always logical to the principles of the company, it is not a result of our contract execution in the past or future or in any way indicator of our outlook for the business.
 I'm disappointed with our having to take the impairment, but I'm as positive about the future of our businesses as I've ever been.
 We are competitive and financially strong. The impairment should have -- has no effect on our cash position or our cash flows or, certainly, our ability to execute our existing work or compete for future opportunities.
 The second quarter diluted earnings per share, excluding the impairment charge, was $0.16, down $0.25 from the second quarter. With the exception of our Building Group, our operating results for the first half of the year approximate our expectations based on the backlog that we started with.
 Overall, our execution remains strong, and our longer-term outlook remains positive, although we continue to suffer from the pressures of our Building business, the diminished amount of work available and the intense pressure on margins in the Building Group.
 However, we have had a number of recent large awards and low bids, those being the $239 million Chinatown station in San Francisco and the $235 million Verrazano Bridge Upper Deck Replacement in New York, as well as our Fort Lauderdale group was awarded the $178 million Broward County Courthouse in Fort Lauderdale, Florida.
 Just last week, we were awarded a $94 million contract for a faculty office building and informed that we were awarded a $102 million dormitory in Philadelphia to our Keating group.
 With these recently announced awards, we are starting to see significant increases to our backlog and, frankly, the product of the extensive bidding we are doing on a national scale.
 In addition, we have seen some of our longer-term pending awards being converted into backlog. While all of this provides an excellent foundation for earnings in 2013 and beyond, continued delays in our building performance has led us to lower our guidance for the balance of the year.  Mr. Kershaw will discuss the details later in the financial performance overview.
 Operating losses in the Building Group are a result of lower-than-expected backlog, revenue and margin pressures caused by a marketplace in which we have been forced to reduce our fee in order to be competitive. 
 We are proceeding on schedule at the Hudson Yards development in Midtown Manhattan. Work continues to progress at the residential tower, 500 West 30th Street. And we expect in October or thereabouts to break ground on the Tower C development, which is an $800 million office building for Related. That contract, we expect to sign during the month of August.
 We've specifically identified and are tracking approximately $20 billion of targeted projects in our Building Group, a number of which are with Related, an existing customer, and a significant dollar volume with Genting, whom we built the Aqueduct Casino for, as you know, last year. These projects will be proposed upon in the next 12 months, 60% of which are in the private sector and 40% in the public sector.
 Our Civil Group continues to be a significant area of growth. The large volume of significant infrastructure project, the limited bid lists and the qualifications for those projects remains high, and we do not expect this to tail off for the rest of the year. 
 We intend on pursuing these large transportation jobs that have been federally funded, we believe, to stimulate the economy. As a matter of fact, over a period from August 1 through the end of October, we expect to propose on over $9 billion worth of civil work during that 90-day period. All of which will be limited prequalified bidders and, hopefully, a significant amount of which will fall onto our plate.
 The $5 billion Tappan Zee bridge replacement has been bid. The $1.5 billion East End P3 Crossing for the Indiana Finance Authority will be proposed upon by the end of October, and the first phase of the $5 billion California High-Speed Rail Project remains on schedule for bidding in the fourth quarter.
 Recently, the first phase of the California High-Speed Rail Project was signed by the governor, providing approximately $13 billion in funding through bond, federal and local. We estimate the size of prospective opportunities that we intend to propose for in our civil infrastructure market to be in excess of $15 billion for projects bid over the next 12 months.
 Specialty Contractors group has an active pipeline of $6.5 billion and targeted projects bidding within the next 12 months in their markets only.
 Our Building and Civil Groups continue to utilize our Specialty Contractors in our integrated approach to building and executing large scale work. 
 Fisk Electric was recently awarded $151 million in new subcontract work for several core projects, including the SR99 Bored Tunnel Project in Seattle, Washington, as well as the Marriott Hotel in Las Vegas and other work performed for Tutor Perini's company. This is evidence of our vertical capabilities and integrated approach to executing large scale work.
 We ended the quarter with $5.9 billion of backlog, the mix being 37% Building, 33% Civil, 25% Specialty and the balance Management Service. New contract awards and adjustments to contract during the second quarter added approximately $900 million to backlog.
 Currently, we have approximately $4.8 billion in pending awards, including $2.5 billion in mixed use, $885 million in hospitality and gaming, $419 million in education, $296 million for highways and transportation, $236 million in bridges and $202 million in health care. These awards are expected to enter our backlog over the next 2 quarters.
 In relation to the MGM Center litigation, during the second quarter, the court determined that MGM can demolish the Harmon Tower as a business decision but that doing so would not in any way be the results of any actions by Tutor Perini Building Corp. or their reinforcing steel subcontractors during the construction of the project and that the court's decision is not a determination as to whether any design defect exists or any noncompliance with code exists. Tutor Perini remains confident that we will prevail when the issues of safety, reparability and responsibility are dealt with on the Harmon.
 John A. Martin, a nationally known and renowned structural engineering firm that has the most experience in designing high-rise towers on the Las Vegas Strip, testified at the hearing, finding that the Harmon Tower suffers from substantial defects that are MGM's design engineers’ responsibility. 
 The evidence at the hearing established that the Harmon Tower can be fully repaired for approximately $21 million, with more than $15 million of which due to design and defect that are MGM's responsibility. We feel stronger than ever that this evidence will support our prevailing in the case.
 Now, I'd like Bob Band to share details of Management Service. 
Robert Band: Thanks, Ron. 
 In the Management Services segment, we are currently continuing to participate in 9 multi-year indefinite delivery/indefinite quantity contracts for several U.S. government agencies. The aggregate program value for these IDIQ contracts is in excess of $15 billion for all participants. These programs include the U.S. Navy MACC program for the relocation of the U.S. Marines from Okinawa to Guam; U.S. Department of State worldwide construction project contract for containerized housing and offices; 2 USAID contracts, one for vertical structures and another for water and energy contracts both in Afghanistan; the central command MATOC program for the U.S. Army Corps of Engineers Middle East District; the U.S. Coast Guard; Department of Homeland Security; MACC for work for agencies, such as FEMA and ICE; also the fish and water life service MACC for the U.S. Department of Interior; and the SATOC and HERC contracts with the U.S. Air Force. 
 We are working under these contracts, currently and actively pursuing new projects under all of these programs, which provide us with greater visibility into our new work pipeline in 2012, '13 and beyond.
 We estimate the size of prospective opportunities in our Management Services group target market to be approximately $3 billion for projects that could be bid over the next 12 months. We continue to seek additional multiple award contracts from U.S. government agencies, both overseas and domestically, as well as pursue major full and open competitions in Iraq, Afghanistan, Haiti and other countries from various U.S. agencies. 
 Work currently in backlog continues to produce solid results on target. The $115 million task order under the State Department's containerized housing and office facilities in Southern Iraq is achieving good progress, and the $75 million task order under the Navy MACC for an aircraft parking apron at Andersen is well underway.
 In Iraq, we have been awarded a $55 million overhead cover project by the U.S. Army Corps of Engineers.  In Haiti, we have been awarded a $12.7 million electrification project by USAID. In Afghanistan, we were recently awarded a $94 million contract for the upgrade to the Southern electric power system consisting of upgrades to an existing electrical overhead transmission system and a construction of electrical substations in Afghanistan.
 In the U.S., we've been awarded over $17 million of contract completion work by our surety clients. And we anticipate increased activity in Haiti, Afghanistan and Guam, as well as increased assignments from our U.S. surety clients.
 Now, Mike will give you the financial details for the quarter. 
Michael Kershaw: Thank you, Bob.
 Revenues for the quarter were $985 million, a 20% increase from $820 million reported in the second quarter a year ago. Our revenue growth in the second quarter is primarily driven by our acquisition, offset by the substantial completion of several successful large building and civil public works project in 2011.
 Our total gross profit was $87 million, unchanged from the second quarter of 2011. Overall, gross profit margin decreased from 10.6% in the second quarter of 2011 to 8.8%, reflecting the favorable closeout of projects in 2011 and a decrease in the new work margin mix.
 General and administrative expenses were $65 million, up from the $50 million of the second quarter of 2011. The increase reflects companies acquired that were not included in the second quarter of 2011.
 As Ron mentioned, results for the second quarter included an impairment charge. We will discuss income from construction operations, net income and EPS on a pre-impairment charge basis in order to enable users of the information to better compare normal operating results of each segment between the 2 periods.
 A reconciliation of these non-GAAP measurements to income from construction operations, net income and earnings per share prepared on a GAAP basis is provided in our earnings press release.
 Net income from construction operation of $22 million, a 40% decrease from $37 million in the second quarter of 2011. Operating margins were at 2.3%, down from 4.5% a year ago. Net income was $7.5 million as compared to net income of $19.7 million in the second quarter of 2011. 
 Diluted earnings per share was $0.16 compared to $0.41 for the second quarter of 2011.
 Revenues from our Building Group were $330 million, a 37% decrease from the second quarter of 2011. The Building Group experienced a decline in volume, primarily due to the substantial completion of a large successful public works project in Las Vegas and the completion of large hospitality and gaming projects in New York and Las Vegas.
 The Building Group reported a loss from construction operations of $14.5 million, down from income of $23.6 million in the second quarter of 2011, due primarily to the decline of volume previously mentioned, a favorable closeout of certain projects in 2011 and a current absorption of our G&A expenses as we anticipate the startup of several high-quality pending awards and prospect project, led by the Hudson Yards development in New York.
 The margins have also been impacted by a change in the mix of work to the more competitive private market.
 Revenues from our Civil Group were $324 million, an increase of 121% from $146 million reported in the second quarter of 2011. The increase is primarily due to the acquisitions of Frontier-Kemper and Lunda and the ramp-up of infrastructure projects on the West Coast in 2012.
 Civil Group income from construction operations was $25.7 million in the quarter, a 73% increase from $14.9 million in the second quarter of 2011. 
 Operating margins were 8% compared to 10.2% in the second quarter of 2011. The decrease in margins is primarily due to favorable margins achieved in the closeout of public works projects on the East Coast in 2011.
 Revenues from our Specialty Contractors group were $276 million, and income from construction operations was $19.9 million, the majority of which was generated by our recent acquisitions.
 Operating margins of $7.2 million for the quarter reflect the strong performance on some of our New York area projects during the period.
 Revenues from Management Services were $56 million, a decrease of 9% from $61 million reported in the second quarter of 2011. The decrease is due primarily to the timing of progress on a task order contract for containerized housing in Southern Iraq, offset by the ramp-up of recent awards.
 Management Services income from construction operations was $1.9 million, a decrease of 72% from $6.5 million in the second quarter of 2011. 
 Operating margins decreased to 3.3% compared to 10.7% in the second quarter of 2011, primarily due to the favorable closeout on certain projects in Iraq in 2011 and the timing of progress on the task order previously mentioned.
 Interest expense increased $10.6 million from $7.3 million in the second quarter of 2011, due primarily to increased interest expense on our term loan, which was entered into in August 2011.
 We had an income tax benefit of $15 million for the quarter compared to a provision of $11 million in the second quarter of 2011. The benefit for the period includes the tax effect of the impairment charge based on our estimated annual effective tax rate of 3.9%, resulting in a reduction of our provision for income taxes by approximately $21 million during the period. Excluding the impact of the impairment charge, our effective tax rate for the year is estimated to approximate 39.5%.
 Our previous guidance was weighted towards the back end of the year and was predicated on certain assumptions around the award of work in the first half of the year that would create improved financial results in Q3, especially in Q4.
 As Ron mentioned earlier, the timing of new awards has impacted our results, extending the down cycle that we've been experiencing and leading to a negative impact on our short-term financial outlook. As a result, we are lowering our guidance for 2012 to estimated revenues in the range of $4 billion to $4.5 billion and, excluding the impairment charge and nonrecurring items disclosed in the first quarter, diluted earnings to an estimated range of $1.50 to $1.70 per share.
 Looking at our balance sheet at June 30, 2012, our working capital stood at $592 million, which includes $185 million in cash and cash equivalents, up $35 million from $557 million of working capital at December 31, 2011, which included $204 million in cash and cash equivalents. As a result of the impairment charge and our revised short-term outlook, we amended our credit agreement to provide us more favorable covenant ratios in the future. We are comfortable that the amended credit line provides us sufficient liquidity to support our businesses. The current ratio increased from 1.4 at December 31, 2011, to 1.45.
 During the second quarter of 2011, operating activities used $7 million of cash. Cash generated through our Civil and Specialty group was offset by cash used in Building and Management Services during the period. 
 At June 30, 2012, long-term debt, excluding the current portion, stood at $625 million, which is an increase of $13 million from December 31, 2011.
 I will now turn the call over to Ron for his closing comments. 
Ronald Tutor: As you can see from Mike's report, our Building Group sustained a tremendous downturn from a $23.6 million profit in 2012 to a $14.5 million loss. That was almost entirely based on reduced revenue, reduced margins and the inability to absorb their own G&A. This was very disconcerting to us. However, that is the building market we are in. And hopefully, with the ramp-up at Hudson Yards and some of the other projects we've currently been awarded, we can get our Building Group back to acceptable levels by the first or second quarter in 2013.
 Further support for our Civil and Specialty Groups is the fact that we were able to absorb these losses in the Building Group and meet all the rest of our expectations, notwithstanding those statements we are facing in our industry, which I believe would be supported by all of the major players in civil work, an unprecedented level of very large work opportunity but limited bid lists because of limited capacity in this business that we expect to provide significant profit and cash flow streams for the next 4 to 5 years. 
 Virtually every billion-dollar and multi-billion dollar civil job that we are bidding is a 4- to 5-year commitment with the kind of revenues and margins that should be able to make up for some of the many difficulties inherent in our Building operations.
 This concludes our prepared remarks. Now we'll take your questions. 
Operator: [Operator Instructions] Your first question comes from the line of Richard Paget with Imperial Capital. 
Richard Paget: Ron, maybe you could talk a little bit about your expectations for Building. I think you said getting back to better profitability in the first quarter of next year. Does that suggest the second half of this year, you're still going to be losing money? Or is it just going to be at depressed margins but still making a little bit? 
Ronald Tutor: I think that we'll do well to break even in the second half because we've been awarded -- we will start first major phase of Hudson Yards probably in October. It's all about generating revenue, and that should generate revenue in the final quarter. We have started the Marriott Hotel in Las Vegas. We have started the Graton Casino. We have a number of awards that have started, and I don't think we'll see significant enough revenue to offset the G&A that even though it's been pared down, we're probably still looking at best to break even in the second half and probably more than likely a small loss in the Building Group. 
Richard Paget: So and with that G&A, is it -- you had to hold that just because of these projects going forward? Or was it you're bidding more work out there? I mean, is it just you had... 
Ronald Tutor: No, what it really is, is we've worked very hard to trim our G&A back to a minimum operating size. However, we have all of these projects with billions of dollars of potential revenue. And even at reduced profits, that should take us back into the black, and I can't eliminate groups. And then when the contracts are awarded, we got trapped where we cut our G&A to what we thought we could live with, and we simply weren't able to absorb it with the revenue that went. So rather than, frankly, cut them back further where we won't be -- we would not be able to execute these large awards, we just -- we are basically weathering a poor year in our Building business in 2012. You got to remember that business is what helped get us where we were before we took our Civil and Specialty groups and changed the complexion of the company. 
Richard Paget: All right. And then you mentioned your bidding on $5 billion in Civil over the next 90 days, and... 
Ronald Tutor: Actually, it was $8 billion or $9 billion. 
Richard Paget: Okay. Regardless, you had that $1.5 billion East End in October. Any other large projects that you... 
Ronald Tutor: No, the Tappan Zee project went in at approximately $5 billion 2 weeks ago, and we're waiting for that result. And then the California High-Speed Rail, we’re prequalified. There's 5 jobs. The first one bids -- I think it just got postponed from the end of September till the 1st of November, and that's $1.5 billion. And we're turning in a $1 billion bid in New York in August, and we're waiting for an $800 million notice on a job that we've tendered and not been told. The amount of civil work bidding in the last half of this year is unlike anything our industry has ever seen. We're on a 6- and 7-day engineering and estimating group commitment as we speak. 
Richard Paget: Okay. And do you have any sense of why Hudson River Bridge dropped out of the Tappan Zee bid? 
Ronald Tutor: You mean why Dragados did? 
Richard Paget: Yes. 
Ronald Tutor: Because they shouldn’t have been in it in the first place. 
Richard Paget: All right. And then finally, Mike, with the changes with the amendment to the credit agreement, what does that do in terms of your cost? 
Michael Kershaw: It gave us higher covenant ratios. And obviously, on a pricing grid for those ones, it pushes it up, if we end up staying at sustained higher levels than we’ve currently got. So where we were was -- as you know, the agreement ratchets down from 3 to 2.5, previously did between now and Q3. With the work that Ron is talking about, with this ramp-up that's going on, we needed some relief. So we got higher ratios for the -- for the near-term future. But the pricing is going to be dependent on where we are, use of the line. And we've included those updates in essence in our guidance. 
Operator: Your next question comes from the line of Brandon Verblow with UBS. 
Brandon Verblow: My first question is about guidance. I guess it's implying a bigger ramp-up in the second half. You mentioned that Hudson Yards is going to ramp up. I was wondering what other things you're expecting to hit those numbers, whether it's additional projects or change orders in Civil, which I think you talked about last quarter. 
Ronald Tutor: Well, if you looked at the jobs we have pending, not only the low bids but the pending awards, they're very significant, and we expect those to be executed and actually commence work by no later than the fourth quarter. It was literally $3 billion or $4 billion worth of work and a great deal of low bids. Those were all in place in June and July. And we expect those to go into the ground. And that's -- and our third and fourth quarter has always been our biggest quarters in the past anyway. 
Brandon Verblow: And those pending awards, were those the ones that you announced in July? 
Ronald Tutor: Yes. 
Brandon Verblow: Okay. I guess, well, also on Hudson Yards, what hurdles are still left before you get the full go-ahead on the scope of that project? 
Ronald Tutor: We are in negotiations with the owner for the balance of Hudson Yards, which is approximately $2 billion of additional work. It will depend on whether they are able to consummate a lease for the remaining tower, which they are working on. We hope to have an answer within the next 60 to 90 days. If, in fact, they are fortunate enough to lease that tower, they will proceed with not only the tower but the platform and the retail, which will be in the neighborhood of $2 billion of additional work that should start next summer. However, it will be contingent upon their ability to consummate a lease agreement. 
Brandon Verblow: Okay. So you could receive the booking around the time that they consummate that lease agreement? Or... 
Ronald Tutor: Yes. We would -- once and if that gets accomplished, and I say if as well as when, then we would of course get the contract, and it would enter into backlog. 
Brandon Verblow: Okay. And my last question relates to the government segment. What's the pace of a new project award looking like in Iraq and Afghanistan and Guam? I know you mentioned a bunch of the indefinite delivery contracts, but [indiscernible]. 
Robert Band: Well, just to respond, the pace is slow. The bidding rate is pretty aggressive, especially as we roll up to the end of the government's fiscal year, September 30. But the time it's taking to get a job actually awarded is stretching out, and that's the government's attention to detail to try to avoid as many protests as they can. We were just awarded, as you know, that $94 million transmission -- power transmission project, and there are some additional projects in that same region adjacent to it. So that's good news for us. Also in Haiti, there’s some activity. The U.S. Embassy is looking at its own housing needs, and we'll rebid that job. Originally, that was bid and then not awarded, and that's going to come out shortly. There is some work right in Baghdad for the U.S. Embassy. So there's quite a pace. But the problem has been once you bid it, to get the award is taking a little longer than normal. 
Brandon Verblow: Okay. So the timing of some of those awards you talked about, do you see it being slow until after the election? Or it's just kind of… 
Robert Band: No. A lot of the funding is good through the government's fiscal year, September 30. So in September, there's typically a rush to award projects that have previously been bid, and we are looking forward to that. 
Operator: Your next question comes from the line of John Rogers with D.A. Davidson. 
John Rogers: In terms of the Civil business, I mean, with all this work bidding, can you give us a sense of what you think your capacity is to do work? I mean, at what point do you start getting -- do you have to back off on bids? Or I mean, is there -- what are you capable of now? 
Ronald Tutor: Let's hope, John, that I have that issue. We have proposed on Tappan Zee at $5 billion. We will propose on California High-Speed Rail and Indiana River bridges. The 3 of those would total over $8 billion. 
John Rogers: And I'm sorry, Ron, is that Tutor Perini's portion of it? Or is that the total value? 
Ronald Tutor: That's the total. But we are either co-managers or sponsors, which means, candidly, we're responsible for managing, manning and putting the people on it, whether we have 100% or 50%. So -- and if you took half of that $8 billion, $4 billion would go into our backlog. Approximately, by the time you average them all, we're about half, but we're either construction manager or managing partner of all of them. So we have a huge burden. If we get those 3 projects, I believe we would continue to bid certain major projects, but we would steer it toward areas where we have people available. We have a very large civil organization, particularly on the East Coast but even secondarily on the West Coast. And there are so few of us, John, remaining, that frankly can do a billion-dollar-plus civil job that we just continue to pursue those opportunities and treat the margins accordingly. Now, are we going to get everything we bid? Well, I hope so, but I doubt it. And I think that we can handle all 3 of those, if we were that fortunate. And then I'd probably look very candidly at individual jobs and see how they fit. There's no question it would impact how much more we would take or how aggressive we’d be. 
John Rogers: Okay. And on the Building segment, the loss for the quarter, and where you're -- well I guess, especially for the quarter, were there any project charges in there of any significance? 
Ronald Tutor: We took one small -- we took one write-down in one division on a project that we hope to recover through litigation. But other than one within the Rudolph and Sletten organization, it was almost entirely their inability to absorb their own G&A, which was really a pathetic situation to be in, and hopefully, it won't be for long. 
John Rogers: Okay. And then lastly, Ron, in terms of your stock sales, any comments there, plans, et cetera? 
Ronald Tutor: No, I'm still trying to sell my movie interests, getting dangerously close. But other than to comment on that, no -- if I had a sale, it’d be 50,000 or 100,000 shares, nothing of significance. 
Operator: Your next question comes from the line of Richard Paget with Imperial Capital. 
Richard Paget: Just a quick follow-up, just wanted to get your take on any impact with the highway bill. I mean, I realize the large project market, those wheels have been in motion for a while. But with longer-term bill and even though the money amounts are the same, I'm wondering if you are seeing any change in the demeanor of the DOTs and whether the bigger TIFIA loans are helping move things forward. 
Ronald Tutor: Well, they've really been pushing things forward almost to a point. If I could challenge to the industry's capacity and their zeal to get work bid and out into the pipelines, I'm sure in support of employment, and not the least of which is the terrible state of our infrastructure. So it's not as if it's not needed, but they're pushing out work on us, and the industry that is straining our ability to bid it. And tough time lines, bid dates, they don't move. It's just been a hellacious few months, and it promises to be through Thanksgiving. 
Richard Paget: Okay. So it sounds like then once that bill went through, they really did start moving then? 
Ronald Tutor: Oh, they -- trust me, they've started. You want to talk to anyone in our industry that won’t tell you they've overwhelmed the civil industry with major transportation opportunities all over the U.S. 
Richard Paget: Okay. And then, Mike, when do you expect to file the Q? 
Michael Kershaw: As soon as we can. Detailed tagging takes a while with XBRL. That's our only holdup. We should be filed no later than first thing tomorrow morning. 
Operator: At this time, you have a question from Philip Volpicelli with Deutsche Bank. 
Philip Volpicelli: Ron, Mike, it's Phil Volpicelli. My question, if you could give us the D&A, the current portion of long-term debt and the revolver availability? 
Michael Kershaw: The revolver availability -- hang on. We'll pull up the piece of information that we've got. The short-term, I think is about $60 million from my allowance [ph]. 
Philip Volpicelli: $60 million, for what? 
Michael Kershaw: For the short-term debt. 
Ronald Tutor: Do you want to give the availability? 
Michael Kershaw: Well he asked 2 questions. The second one -- and the availability is, we have $300 million as our coverage, and we were drawn $40 million at the quarter close. So we have about $250 million in capacity. 
Philip Volpicelli: Okay. And as you guys think about the business, how much working capital -- I know this is a very hard question, but how much working is required every time you guys launch one of these large projects like Hudson Yards or Tappan Zee? Is there a metric that we should use? 
Ronald Tutor: No, because the reality is what I try to insist upon is we are not a financier of these owners’ projects. And Hudson Yards, for example, is the building job. And even if the entire $3 billion went at once, for us to finance it and get it off the ground might be $10 million to $15 million, and we get payments. We insist on being current and not put in a position of financing. With something like the Tappan Zee bridge, there are payment schedules that give you mobilization. You get payments for your insurances. And most of our big civil owners understand that general contractors don't like being lenders to a project. So although there is generally a capital call, let's say a $5 billion bridge, we are partners with Bechtel Corporation, 50-50. Probably, our capital call might be $50 million for a period of 6 months. Could be more, but I doubt it. And our theories are that the funding of these projects should allow us to use the owner's money to the extent the documents allow it. Most documents allow prepayments, mobilization, payments for all of the big startups. And they are not large cash draws. What we maintain large cash balances and working capital lines are for the unexpected events. 
Philip Volpicelli: Okay, great. And then, Mike, is the amendment to the credit facility, is that going to be in the 10-Q? Or is that -- we're going to have to wait for the next 10-Q for that… 
Michael Kershaw: It's going to be in the 10-Q, and we have full approval, 100% sign-off on that, last week. 
Philip Volpicelli: Okay, so it's all done? 
Michael Kershaw: Yes, it's all done. And I misheard your first question. The first question was about depreciation and amortization? 
Philip Volpicelli: If you have it, yes. 
Michael Kershaw: Yes. $16 million for the quarter. 
Philip Volpicelli: 6-0? 
Michael Kershaw: 1-6, and that's about our average that we run. 
Operator: And your next question comes from the line of John Rogers with D.A. Davidson. 
John Rogers: So I -- just one follow-up, and this will probably be in the Q, but goodwill that you wrote down was -- on the Buildings Group, which I guess the bulk of it, was that Rudolph and Sletten, as well as Tutor? Or what was in there? 
Ronald Tutor: Near as I know, we practically wrote it all off. 
Michael Kershaw: I don't think we've -- I think we ended up with some less than it, and it really is R&S related. The lump sum was the one that we didn’t write off. 
Operator: At this time, I show no further questions. 
Ronald Tutor: Okay. Thank you, everybody. 
Michael Kershaw: Thanks, everybody. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a wonderful day.